Operator: Good day, and thank you for standing by. Welcome to the Ferrellgas Partners First Quarter Fiscal 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Tamria Zertuche, please go ahead.
Tamria Zertuche: Welcome to our First Quarter Fiscal 2025 Earnings Call. The first fiscal quarter again showcased our employee owners and their ability to manage and execute against our overall strategic initiatives, safety, strategic growth, operational excellence, and consolidation continues to be the bedrock of our strategy. In the first quarter, our retail operations team was focused on the onboarding of our latest acquisition, seasonal prep and storm response, all while our sales and national accounts managers looks for ways to grow market share today and for the future. On the Blue Rhino side, the density that is the result of year-over-year location growth continues to drive down expenses and increase profit. I want to take a moment to highlight our commitment to the communities we serve, which has been highlighted in many ways this first quarter but maybe best showcased in the remarks that we have received from our customers in these storm-impacted areas. Their words confirm how fortunate we are to have plentiful amounts of propane in the U.S. This resilient and dependable propane network showcases an infrastructure able to quickly and efficiently move clean-burning propane where it is needed most. As the second largest marketer of propane, we are able to assist customers nationwide when other energy grid systems fail. We are looking forward to the future. Energy choice is a key consideration for consumers across the entire nation, and Ferrellgas provides a safe and affordable answer. We look to take advantage of these opportunities for propane to support existing and new energy needs. I will now turn the floor over to our Chief Financial Officer, Mike Cole, to go over the financial results for the quarter.  Mike?
Michael Cole: Good morning, and thank you, Tamria, and thank you all for joining us today. Before we get started, I would like to remind everyone that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed on September 27, 2024, and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of operations for the first fiscal quarter ended October 31, 2024. Gross profit increased $0.9 million or 0.5% in the first fiscal quarter. Margin per gallon increased 3% due to increased volume on our fixed cost price program for residential customers, the addition of several key new national accounts and West Coast business gains. The increase in gross profit was driven by a decrease of $7.8 million or 4% in cost of products sold, which was primarily offset by a decrease of $6.9 million or 2% in revenues for the first fiscal quarter. Gallons sold during the quarter decreased by $4.2 million or 3% as retail gallons sold decreased $7.7 million or 7%, partially offset by an increase of $3.5 million or 7% in wholesale gallons sold. The impact of inflation and severe weather events resulting in small business closings in addition to weather that was 16% warmer than the prior year quarter, contributed to the decrease in retail gallons sold and 3% decrease in retail customers. The favorable increase related to wholesale was driven by an $8.8 million increase in tank exchange sales due to organic growth, primarily driven by new customer wins. Storm preparations and response during the first fiscal quarter also contributed to this growth. Tank exchange selling locations increased 9% compared to the prior year quarter as new major accounts drove an increase of nearly 5,500 tank exchange selling locations compared to the prior year quarter. We recognized a net loss attributable to Ferrellgas Partners LP of $146.6 million and $17.5 million in the first fiscal quarters of 2025 and 2024, respectively. The $129.1 million change was primarily due to increases of $125.1 million in general and administrative expense, $3.5 million in operating expense and $1.9 million in interest expense. The change in general and administrative expense was driven by a $125 million accrual related to the ongoing Eddystone litigation. After adjusting for $4 million in legal fees and settlements related to core businesses, we had a $0.5 million decrease in operating expense for the quarter. Lower fuel cost in tandem with the benefits of our telematics technology drove a $2.2 million decrease in vehicle cost. Personnel expense consisted of decreases of $2.5 million in workers' compensation expense and $0.7 million in benefits expense, partially offset by a $1.9 million increase in payroll and related costs. The decrease in benefits expense was primarily due to a pharmacy rebate and vacation accrual adjustments. The increase in payroll cost was due to planned personnel growth as well as an increase of $0.7 million in over time to prepare and supply propane to customers impacted by Hurricanes Helene and Milton. The favorable variances for vehicle cost and personnel expense were partially offset by a $3 million increase in plant and other. The $3.0 million change consists of increases of $1.5 million in legal and general liability expenses, $1 million in software expense and $0.7 million in facility rent and repairs, partially offset by a $0.3 million decrease in telephone and related costs. The $1.9 million increase in interest expense consists of a $1.2 million increase for letters of credit fees in a $0.7 million increase for amortization of debt issuance cost for our revolving credit facility related to the fourth amendment that was effective in July 2024. On December 5, 2024, we entered into the fifth amendment to the company's revolving credit facility, which, among other changes, extended the maturity date of the credit facility to December 31, 2025, for March 30, 2025. On March 31, 2025, in conjunction with the commencement of the fifth amendment, the commitment level for the credit facility will be reduced from $350 million to $308.8 million. The amended revolving credit facility is expected, along with cash and cash generation from operations to provide adequate liquidity for the company. Adjusted EBITDA, a non-GAAP financial measure, increased by $2.9 million or 9% to $35.8 million compared to $32.9 million in the prior year quarter. The increase was primarily due to a $1.6 million decrease in general and administrative expense after adjusting for a $126.7 million increase in EBITDA adjustments and a $0.9 million increase in gross profit. We intentionally manage our operations to counterbalance economic and weather-related factors with investments in safety, people and technology, which Tamria will go over next. I will now turn the call back to Tamria.
Tamria Zertuche: Thank you, Mike.  We do historically experienced weather events during the first quarter that we have to navigate, and this quarter was no exception. As Hurricane Helene and Milton impacted the Southeast, our employee owners worked on behalf of impacted communities to provide extended support both in preparation for the upcoming storms and afterwards. Over 140 service units were impacted across the Southeast. That's within our network, driving double-digit growth in these areas. Additionally, we supply propane through our partnership with Operation Barbecue Relief. This charitable organization cooks and served almost 1.4 million hot meals to people and first responders that were touched by these storms. It's all part of our 85-year history and our commitment to be there for our customers. Our operational excellence and strategic initiatives delivered solid results. As I stated before and Mike highlighted, and we will continue to highlight, it is the investments in safety and technology that really bolster our logistics infrastructure, allowing us to perform across the nation. We leverage our telematics technology platform to manage our fleet, improve safety outcomes and ensure regulatory compliance. This technology, it enhances the already strong and professional driving skills that we are fortunate to have in our best-in-class workforce. Telematics turns real-time data into actionable insights, which has reduced fuel costs and boosted route efficiencies, such as the reduction in idling time. This allows us to focus our assets where they're needed most. We continue to expand our nationwide footprint outside of our Midwest core, realizing organic growth in our customer base in the West and Southeast, our business development team, however, continues to deliver strategic opportunities such as the acquisition of Kilhoffer Propane located in Oklahoma in October of '24. Our retail business also benefits from the strength of its national accounts team. Standing out from their wins this quarter are 3 key national account wins, providing more than 700,000 gallons annually. Our Blue Rhino tank exchange business realized organic sales growth during the first quarter compared to prior year, primarily driven by new customer wins. Yes, storm prep and response also added growth, but the favorable impacts of improved logistics, optimized fleet maintenance, idling reductions, they are delivering positive returns in this business as well. Again, our investments made in the telematic technology as noted above, help Blue Rhino's extensive improvements in cylinder inventory management as well. We highlighted these last quarter and have been persistent and consistent this quarter. These initiatives favorably factored into the company's positive first fiscal quarter adjusted EBITDA results. In closing, I'd like to call attention to the employees of Ferrellgas. Our employees create one of the most dependable energy networks in the country. For 85 years, we have built an infrastructure of people that put our customers first regardless of storms, snow or ice. Thank you to our more than 4,000 employees for making Ferrellgas the dependable logistics company we are. We will again be taking Q&A this call. We will take a pause to read your questions and organize a bit. I'll now turn the call back over to our moderator as we move to the Q&A section of our call.
Operator: [Operator Instructions]
Tamria Zertuche: Thank you, Michelle. We're just kind of organizing and reading these as they come in. I think where I'll start though is with just a quick note on Eddystone. So we really want to remind everyone that pursuant to our company policy, we do not comment on pending litigation. Therefore, in this Q&A section, we will not be discussing questions pertaining to Eddystone litigation, including the related accrual with respect to Eddystone, we direct you really to the disclosure in our 10-Q and other public filings. So we have a few questions around acquisitions, which is actually my absolute favorite topic to speak about. So Mike, I'm going to go first. We have a couple of questions here on acquisitions. Each year, the acquisition pipeline, it looks a little different. And as always for Ferrellgas, we're really focused on the fit, and that acquisition really needs to align to our strategic goals. This past year, we actually made our largest acquisition in 10 years. So you can see that the larger acquisitions haven't necessarily been our focus. It's really been more about where the acquisition is located. The strong performance in the West that happened this past quarter, it really was about the quick and successful onboarding of Eastern Sierra Propane. So our operations team really knows how to assess and quickly onboard all new acquisitions. The acquisition that we closed this past quarter, Kilhoffer, it's really no different and it starts with employees and customers, and we really take care of those 2 areas well. And it was a great fit for us, 95% residential customers and a perfect tuck-in for us in that area. We are still engaged in the acquisition market. And as opportunities arise, we continue to assess. Mike, I'm going to hand it back to you. There's a couple of questions on the fifth amendment.
Michael Cole: Thank you, Tamria.  A few questions have come in regarding the fifth amendment to our revolving credit agreement. The fifth amendment was closed on December 5 of this year, and it extended the maturity date of the revolver from March 30 of next year to December 31 of next year. The March 30 maturity date of the credit facility created substantial doubt about the company's ability to continue as a going concern for at least 1 year from the September 27, 2024 date of issuance of the company's 2024 10-K. Importantly, this revolver extension alleviated the substantial doubt about the company's ability to continue as a going concern for at least 1 year from the date of issuance of this 10-Q. The fifth amendment also continues to restrict cash movements from Ferrellgas LP to Ferrellgas Partners LP, and it also revises certain commercial terms and conditions, such as pricing, among other changes. The fifth amendment also allows for us to fund potential resolutions to Eddystone. Please refer to our 8-K filing on December 10, 2024 for additional information related to this extension. Tamria, it looks like there are some questions coming in on the operations. Would you like to handle those?
Tamria Zertuche: Yes.  We have so much information in our press release. You did a good job with that, Mike. But maybe what I'll do is I'll start with Blue Rhino since this is really -- quarter 1 is really the core season still for Blue Rhino, and they had their best quarter on record when it comes to free cash flow. Their expense management just was phenomenal, all while hitting high volume numbers, and it's exactly what we've been working on for the past 4 years as we've transitioned the company to really focus on strategic initiatives of supply chain and just the acumen around our fleet. So they're supposed to provide counter seasonal EBITDA performance, and they did exactly that. I'm very proud of that team. Our wholesale business also saw some volatility in supply and price due to some events in September related to propane exports. And so the seasoned team there, they're able to take sort of full advantage of the opportunities that the market presents, and you see the performance of our entire wholesale group really based on that. Finally, on retail, we've discussed much in this call on retail, but I'll highlight just a couple of areas. First, retail showed really great operational excellence in the areas of storm response seasonal prep and expense management. And I say expense management because October was warmer than normal, and our teams really executed while managing expenses to demand. Adding to this is our telematics implementation, that investment, it's really allowing us to just get down to another level of expense management on our most -- one of our most cost-intensive area, which is fleet. Regarding the storms, we achieved growth in those areas where the storm response was greatest. As you can imagine, Florida and North Carolina had some of our service units in there had double-digit EBITDA growth over prior year, and we noted some business closing. But if you think about the way storms work, they cause destruction and that can put a business on pause as they sort of rebuild and recover. And then they -- some businesses may elect to not open their doors. But those that do, by Q2 here, we obviously have -- we understand the demand that will be persistent. Finally, our sales approach. We continue to focus on expanding our footprint outside the Midwest core. And we have one of the best auto gas sales and installation teams in the industry and they simply never disappoint, and new business is definitely growing in this segment. I said a lot there, Mike. Why don't we pass it back to you because I see some finance questions coming in again.
Michael Cole: Yes.  Thank you, Tamria.  We are not disappointed. Some of the listeners have posted questions related to our financing plans. As I previously discussed, we engaged an investment bank to help us evaluate our capital structure and analyze various refinancing alternatives. We are working closely with the investment bank and are making good progress evaluating our capital structure and the refinancing opportunities. As we have previously stated, we do have the options tied to redeem the Class B units or to convert to Class B units into Class A units until March of 2026. After March of 2026, converting the Class B units into Class A units is the only remaining option permitted or documented under those financing agreements. In terms of the 2026 senior notes, they do go current at the end of March of 2025 and then they become callable at par. We are monitoring the current high-yield market and we receive periodic updates from our bank group on indicative pricing for new debt issuances. We will continue to monitor the market conditions and the opportunities to refinance the '26 senior notes. Tamria, there's been some questions around capital spending. Would you like to address that?
Tamria Zertuche: Yes. So CapEx, let's see. So it's really kind of general, so I'll just kind of speak generally about it. Blue Rhino has been putting on really just the supply chain performance that's been unmatched in the 20 years since they've been a part of Ferrellgas. And this team of professionals has achieved a days of supply and an inventory turns number. And those are the 2 things that are really favorably impacting not only cash -- sorry, cap expense but also cash flow. Blue Rhino is really one of the largest components of our CapEx spend. So that they're favorably impacting that. Retail use of CapEx in Q1 is really balanced between new growth and maintaining the over 800 properties that we do business from -- so we're always investing in our assets so that they can be leveraged for future growth and market share expansion. And Mike, I think as I'm looking at these questions, there's some additional questions on storm response, which I kind of hit before. But maybe I'll just say that, it really matters during a storm event to have seasoned professionals, those that really understand safety and execution, and we have exactly that. They knew how to navigate the storm from prep to post response. And we are a nationwide company. So just to kind of provide an example, we bring in drivers and tax from outside the area so that our local teams can focus on their families and being a nationwide provider really affords us this opportunity. And then those outside the area employees that come in, and this is their fifth or sixth storm that they're helping on, so experience remains pre-post storms. And that really is what led to the double-digit growth, as I alluded to before in those North Carolina and Florida areas. As I'm looking through the rest of these questions. Mike, I don't see anything else in any other category. So -- but I will say those before we conclude today's call, we will be -- we're planning to attend the JPMorgan Global Leverage Conference this spring and excited to do that. Thank you to everyone for joining today. We truly appreciate your continued support. We wish you a really safe and happy holiday season. So moderator, I'll pass it back to you.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect. Everyone, have a great day.